Operator: Greetings, and welcome to the Alpha Metallurgical Resources, Inc. Fourth Quarter 2025 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to your host, Emily O'Quinn, Senior Vice President, Investor Relations and Communications. You may now begin.
Emily O'Quinn: Thank you, Rob, and good morning, everyone. Before we get started, let me remind you that during our prepared remarks, our comments regarding anticipated business and financial performance contain forward-looking statements, and actual results may differ materially from those discussed. For more information regarding forward-looking statements and some of the factors that can affect them, please refer to the company's fourth quarter 2025 earnings release and the associated SEC filing. Please also see these documents for information about our use of non-GAAP measures and their reconciliation to GAAP measures. Participating on the call today are Alpha Metallurgical Resources, Inc.'s Chief Executive Officer, Andy Eidson, and our President and Chief Operating Officer, Jason E. Whitehead. Also participating on the call are J. Todd Munsey, our Chief Financial Officer, and Daniel E. Horn, our Chief Commercial Officer. With that, I will turn the call over to Andy.
Andy Eidson: Thanks, Emily, good morning, everyone. Today, we released our definitive fourth quarter financial results, which include adjusted EBITDA of $28,500,000 and 3,800,000 tons shipped. This closes out a year that presented a number of challenges and continued market weakness. However, 2025 was also a year of markedly improved cost performance across the company and resilience in the face of difficult circumstances. Now in 2026, we look to build on that perseverance and continue improving. Since our last earnings call, we issued 2026 guidance and announced 3,600,000 tons in sales commitments to domestic customers. We have since added another 500,000 contracted tons, bringing Alpha Metallurgical Resources, Inc.'s domestic commitments to a total of 4,100,000 tons for the year at an average price of $136.30. Especially in volatile times like these, having a solid base of committed tons to North American customers supports cash flow planning and business needs since the rest of the sales book is subject to market risk, which carries uncertainty. As we stated in our preliminary announcement and again today, recent upward movement in coal markets has been largely concentrated within the Australian Premium Low Vol (PLV) Index. Much of the shift was due to supply-related issues resulting from flooding that occurred in Queensland in December and January, meaning the impacts were likely isolated and temporary. This conclusion is further supported by the significant divergence between the Aussie index and those priced on the U.S. East Coast as well as the trend lower in recent weeks. Additionally, growing oversupply of high-vol coal seems to be contributing to the widening spread between low-vol and the high-vol A and B coals. Given our usual quality mix, if the current pricing environment for high-vol persists, it would likely exert downward pressure on our realizations for the year. In light of these supply-related forces, we continue to look for durable improvements to global steel demand as the catalyst needed to improve met markets across the quality spectrum in a sustainable way. All of this is important market context as we look at what is ahead for 2026. While the high-vol market remains crowded on the supply side with incremental tons coming from Alabama and Northern Appalachia, we are looking forward to completing development at the Kingston Wildcat low-vol mine, which Jason has additional detail to share about shortly. As always, we are going to do everything we can to mine coal safely and efficiently, and our sales team will aim to maximize the value of every pound of coal that we mine. However, we are also clear-eyed about the persistent market weakness, especially with regard to high-vol, and are maintaining our focus on a strong balance sheet and safe, efficient operations as a recipe for success in these challenging times. I will now turn the call over to Todd for additional information on our fourth quarter financial results.
J. Todd Munsey: Thanks, Andy. Adjusted EBITDA for the fourth quarter was $28,500,000, down from $41,700,000 in the third quarter. We sold 3,800,000 tons in Q4, down from 3,900,000 tons in the third quarter. Met segment realizations increased quarter over quarter with an average realization of $115.31 in Q4, up from $114.94 in the third quarter. Export met tons priced against Atlantic indices and other pricing mechanisms in the fourth quarter realized $106.13 per ton, while export coal priced on Australian indices realized $114.96 per ton. These results are compared to realizations of $107.25 per ton and $106.39 per ton, respectively, in the third quarter. The realization for our metallurgical sales in Q4 was a total weighted average of $118.10 per ton, up from $117.62 per ton in Q3. Realizations in the incidental thermal portion of the met segment decreased to $77.80 per ton in Q4, down from $81.64 per ton in the third quarter. Also, coal sales for our met segment increased to $101.43 per ton in the fourth quarter, up from $97.27 per ton in Q3. Lower coal volumes in the fourth quarter, along with the reduction in coal inventory value, were the primary drivers of the increase. SG&A, excluding non-cash stock compensation and nonrecurring items, decreased to $10,900,000 for the fourth quarter as compared to $13,200,000 in the third quarter. Reduced professional services spend and lower labor costs were the primary contributors to the reduction. Moving to the balance sheet and cash flows, as of December 31, we had $366,000,000 in unrestricted cash, and $49,600,000 in short-term investments, as compared to $408,500,000 of unrestricted cash and $49,400,000 in short-term investments as of September 30. We had $183,700,000 in unused availability under our ABL at the end of the fourth quarter, partially offset by a minimum required liquidity of $75,000,000. As of December, Alpha Metallurgical Resources, Inc. had total liquidity of $524,300,000, down from $568,500,000 as of September. CapEx for the quarter was $29,000,000, up from $25,100,000 in Q3. Cash provided by operating activities was $19,000,000 in Q4, down from $50,600,000 in the third quarter. As of December 31, our ABL facility had no borrowings and $41,300,000 of letters of credit outstanding. In terms of our committed position for 2026, at the midpoint of guidance, 37% of our metallurgical tonnage in the met segment is committed and priced at an average price of $134.20. Another 53% of our met tonnage for the year is committed but not yet priced. The thermal byproduct portion of the met segment is 77% committed and priced at the midpoint of guidance at an average price of $73.17. I will now turn the call over to Jason to provide an update on operations.
Jason E. Whitehead: Thanks, Todd, and good morning, everyone. At the end of each calendar year, we evaluate every Alpha Metallurgical Resources, Inc. operation against a set of criteria to determine the David J. Stetson Best in Class awards. These winning teams meet or exceed certain thresholds measuring their safety, environmental stewardship, and efficiency throughout the year. I am pleased to congratulate our Raven Mill Prep Plant and Marmet River Dock on their selection as 2025 Best in Class winners. We appreciate all the hard work and daily attention to detail that contributes to these successful operations. I want to also recognize the good work accomplished at the remaining mines in our operating portfolio. Even though 2025 was a challenging year, our teams came together to overcome obstacles and continue pushing each other to be better. That drive for continuous improvement is inherent in our culture of safe production. Turning to our new low-vol mine, Kingston Wildcat, I want to remind everyone that in September 2025, our Wildcat slope intercepted the Sewell coal seam. Since then, we have continued to make progress in underground development production while installing key infrastructure in and around the mine and the Mammoth preparation plant. At Wildcat, the two-mile power line and tap construction is complete and the mine is now on its permanent utility power. The stockpile reclaim tunnel and raw coal railroad loadout are complete, and the overland belts that serve the loadout from the mine stockpile are expected to wrap up in Q2. The mine ventilation shafts have both been bored, and the lining and ventilation work continues. At Mammoth, the railcar off-loaders are complete and functioning, and the raw coal transfer belts that report from the rail to the plant are also complete. We are forging ahead as planned, and we currently expect to produce roughly 500,000 tons from the mine this calendar year as we ramp up Wildcat's full productivity capacity, which we believe is nearly 1,000,000 tons per year. With that, I will now turn the call over to Dan for some details on the market. Thanks, Jason, and good morning, everyone.
Daniel E. Horn: As Andy mentioned, supply-related issues, including the December and January flooding in Queensland, Australia, impacted metallurgical markets in recent months. Due to constraints on Australian met coal supply, a divergence between the Australian-linked indices and the U.S. East Coast markets significantly expanded, with spreads also widening between the premium grade low-vol coal and high-vol coals. Despite these supply-related shifts in the indices, the global metallurgical coal markets are still structurally influenced by steel demand as linked to economic conditions, policy decisions, geopolitical tensions, tariffs, and ongoing trade negotiations, all of which could impact met coal pricing. Metallurgical coal markets experienced varied movements across the indices during 2025. Of the four indices that Alpha Metallurgical Resources, Inc. closely monitors, the Australian Premium Low Vol Index represents the largest jump, an increase of 14.6%. The Australian Premium Low Vol Index increased from $190.20 per metric ton on October 1 to $218.00 per metric ton on December 31. The U.S. East Coast Low Vol Index rose from $177.00 in October to $185.00 per metric ton by December, an increase of 4.5%. The U.S. East Coast Low Vol averaged roughly $178.00 over the course of the fourth quarter. By contrast, the U.S. East Coast High Vol A index was effectively flat during the quarter, dropping slightly to $150.50 per metric ton at the end of the year, and the U.S. East Coast High Vol B index was similarly flat, ending the quarter at $144.20 per metric ton. Since the quarter close, all four indices have increased, although to very different degrees. The Australian PLV has increased to $237.00 per metric ton as of February 26, a 9% increase, while the U.S. East Coast Low Vol index was $196.00 per metric ton, an increase of 6%. High Vol A and High Vol B indices measured $159.00 and $149.00 per ton, respectively, as of the same date. In the seaborne thermal market, the API2 index was $94.55 per metric ton as of October 1 and increased to $96.90 per metric ton on December 31. Since then, the API2 has increased to $106.75 per metric ton as of February 26. Turning to logistics, Dominion Terminal Associates will undertake a four-week planned outage beginning in March during which portions of the terminal will be unusable while significant equipment upgrades occur. Similar to past outages, DTA management has carefully planned the order of events so as to disrupt operations as minimally as possible. Our team within Alpha Metallurgical Resources, Inc. has also been planning for this downtime, and we do not anticipate any material negative impacts from the outage. Rather, we look forward to these important terminal upgrades to strengthen our shipping capabilities for the future. With that, operator, we are now ready to open the call for questions.
Operator: Thank you. We will now open for questions. Our first question comes from Nick Giles with B. Riley Securities. Your line is now live.
Nick Giles: Maybe my first one is more of a clarifying nature. Could you just help us understand your mix within your domestic tonnage versus more seaborne-based tons? I am really just trying to kind of better capture your sensitivity on the low-vol side with your uncommitted tons?
Daniel E. Horn: Yes, Nick, this is Dan. Good morning. On the domestic, I cannot give you exact numbers, but on the domestic side, probably half of our domestic volume is high-vol, while the other half of it would be low and medium vol. And then on the seaborne side, we have some of our existing low-vol production available to sell into the seaborne market. And then as the, when the 1,000,000 tons or so of low vol that would be available for that market as well.
Nick Giles: Perfect. Dan, that is really helpful. I appreciate it. Maybe my second question is just on the cost side and how should we kind of think about cost cadence over the course of the year? I know volumes will be slightly lower here in Q1, which is pretty typical. Just any kind of incremental color you can give us on cost progression as the year goes on?
Andy Eidson: Hey, Nick. It is Andy. Good morning. I will hit at a high level and Jason can add any detail he would like to. But Q1, as we mentioned, we had some weather impacts and it is going to be a slightly lower productive cadence for the quarter. So that will lead to elevated costs. Second and third quarters are typically when we are all systems go. Fourth quarter is typically the same issue as the first: a little bit of weather, but you have got miners’ vacation and holidays that tend to bring down our output just a bit. So, usually, it is kind of a barbell: first and fourth will be your higher cost quarters; in the middle we do a little bit better. Although this ’25 was, I think, an exceptional quarter from a cost perspective. So it just depends on how that works out. But typically, that has been the trend.
Nick Giles: Got it. Thanks for that, Andy. Maybe one more if I could and I can jump back in the queue. But, Dan, would just be great to get some more color on the broader market. How are you seeing things in kind of more traditional markets like Europe or South America? And do you think that any upcoming recovery is really dependent on incremental demand from South Asia, or do you think there will be other important contributors as well?
Daniel E. Horn: I guess the steel market globally is still pretty weak, with the exception of the U.S., and even the U.S., the volumes there—steel pricing here in our markets are good, but the volumes probably could be better. There are still some blast furnaces that could ramp up here. Atlantic Basin, though, yes, I think we see probably a little more optimism than we had the last couple of years in Europe, South America, that the effect of the global trade wars is starting to sink in and different governments are beginning to take some action that I think will benefit met coal exports to those markets. Asia remains kind of tough. It is tough even in the best times; it is a very competitive market when the Australians are producing well. We have that to compete with. And of course, Andy mentioned the increased production; we are seeing more competition along the high-vol coal. So I hope that answers your question.
Nick Giles: That does. I appreciate it, Dan. Guys, I will turn it over for now, but thanks a lot and continue the best of luck.
Operator: Our next question comes from Nathan Martin with The Benchmark Company. Your line is live.
Nathan Martin: Thanks, operator. Good morning, everyone. You know, I am thinking about total liquidity, over $500,000,000 at year-end, nice cushion over your minimum target of $250 to $300 million. Obviously, the market was quite weak last year. Maybe things are at least seemingly moving in a positive direction the last few months. I guess, Andy, maybe it would be great to get your thoughts on what you see as the best uses for Alpha Metallurgical Resources, Inc.’s cash at this stage.
Andy Eidson: Yes. Hey, Nate. Good to hear from you. That is a great question. I mean, particularly in markets like this where we are dealing with such volatility, the question still goes back to how sustainable is the recent bump in the PLV and when do we start seeing a collapse of the massive margin that is built between Atlantic Basin and the Australian pricing. Because, again, we have got a good portion that goes on Aussie pricing, but the vast majority of our coal is going on Atlantic Basin, which has remained relatively depressed for a while now. So we think that having that buffer, that liquidity, is very good to just keep the balance sheet strong. We are still utilizing some of that cash for the share buyback to keep that moving along at a measured pace. And we remain hanging around the hoop on all kinds of different opportunities that may arise. I mean, as usual, I like to kind of be cagey around any M&A comments. But there are some things available out there. Some of them are attractive, some of them maybe not. But we continue to keep our eyes open and will look at literally anything that comes across the desk to see if there is a way that we can add value to the enterprise without bringing extra risk to what we have already built.
Nathan Martin: Alright. That is very helpful, Andy.
Nathan Martin: I guess, the cost side of the business. You guys put your guidance out originally in December. You know, I know usually you kind of assume, you know, a forward curve for your price within that guidance. I mean, that has probably improved about $10 or so since then. So any thoughts on what net price range you are assuming in that guidance? And then you talked as well about the 45X tax credit. What kind of benefit does that represent in your guidance range?
Andy Eidson: Yes, I will answer the first part of that, and I will let Todd cover the 45X piece. Yes, our guidance when we put it out in December was, of course, as it is every year, it is informed mostly by the strip for the following year, which was a bit lower than where we have actually landed in January and February. So that is contributing to higher sales-related costs rolling through Q1, and so that would contribute to something above the upper end of our guidance likely for Q1. We do think that that will normalize—the trend typically winds off a little bit; we get into the quote-unquote shoulder season rolling into the second quarter. So I think our cost guidance is still pretty solid, even though coming out of the gate we will probably be a little bit above that. Todd, 45X impact?
J. Todd Munsey: Yes. Hey, Nate, the range we gave out previously, I think if you look at the midpoint of our volume, you will get around, call it, $2 per ton benefit, maybe a little bit more. I mean, it is a new calculation. We are still working through what qualifying costs mean. But as we work through the year, we will get more precision around that. But I would say a good way to think about that is it is around $2 a ton.
Nathan Martin: Great. Makes sense, guys. And then maybe one more. You know, appreciate seeing the tonnage now for committed and priced volume. I do not really remember seeing that before. And, Andy, you mentioned adding, I think, roughly half a million tons of domestic commitments since last guidance. Only a small decrease in average price there. As we look at what is open, do you guys think there is any more opportunity for domestic sales out there, or do you expect the rest of your open tons to go export?
Daniel E. Horn: Yes, Nate, I think it is fair to assume most all of them will go export. If the aforementioned blast furnaces would ramp up and our need to produce a little more coke here in North America, they might come out and do a little more shopping. I think largely that domestic market is put to bed. So the answer would be go seaborne.
Nathan Martin: Got it then. Alright guys, very helpful. I will leave it there. Appreciate the time, and good luck in ’26.
Operator: Thank you, Nate. Our next question comes from Nick Giles with B. Riley Securities. Please proceed with your question.
Nick Giles: Hey, thanks for taking my follow-up. Andy, I just found your comments interesting there around the M&A piece and just wanted to clarify: would you only be looking at met opportunities, or, just given some of the kind of constructive thermal dynamics going on, would you be willing to look at thermal coal as well?
Andy Eidson: Yes. I do not know that anything is off the table necessarily. Look, we are a met coal company and that is kind of strategically where we made our move. We made that move for some obvious reasons. We exited a couple of our largest thermal assets that did not quite fit what we were wanting to accomplish. But the world changes. So again, when I say we will kind of look at anything, we really will, but it does have to fit certain categories. And, you know, those categories are not necessarily related to the fundamental nature of what the asset is, but it is more around guarding against unnecessary risk and also seeing upside to make the juice worth the squeeze, so to speak.
Nick Giles: That makes sense. I appreciate that. Maybe one last one, if I could. Just anything from a U.S. supply perspective that you have seen over the past few months? I mean, I know that I have heard rumblings of some smaller operations curtailing over the past year. And curious if you have any updates on that front and whether you think there is really that much more supply that could come offline, or if those that are still able to operate today might be better positioned from a balance sheet perspective and kind of the higher-cost players are probably out of the market at this time?
Andy Eidson: Yes. It is always hard to tell because, particularly with smaller producers, we do not have a lot of visibility into how strong their balance sheets are. But we have all seen, even in the past couple, three weeks, we have seen some furloughs of operations that are going into care and maintenance—could be prepping sale, could be doing any number of things—but those mines are not currently producing in Central Appalachia. So if you kind of add up those numbers, you get to, you know, 1,000,000, 1,500,000, maybe 2,000,000 tons of potential annual production that is coming offline. For Central App, that is a decent number. Globally, it is not necessarily a needle mover. And then that does not take into account the ramp-ups of other mines that are out there. And again, when we look at Alabama and Northern Appalachia, a lot of those mines have not hit their stride yet. So there is potential for even more tons to come online. So at this point, it still feels like there are probably some folks out there, the smaller producers, that at this market level—these prices—probably will not be able to continue producing for much longer. But I do not know that it is enough to hit critical mass and make a material impact to the market.
Nick Giles: Got it. Understood. And I lied. I will sneak in one more, if I could. I think maybe just another high-level question around pricing. I think when investors look at prices on paper, I think realizations in the market can be a very different story. So do you think there is maybe a better way that pricing could be reflected, whether for users of coal or investors? Or are there any improvements out there that could kind of add transparency, if you will?
Andy Eidson: Well, let me ask you a clarifying question. Are you talking about the presentation of the indexes, or the derivation of the indexes, or how we all individually refer to our realizations? Because I think there is more so industry—
Nick Giles: Yeah. Sorry. Yeah. I mean just on the indices. Yeah.
Daniel E. Horn: Nick, yes, the indices—we sell coal into liquidity truly around the world using five, six, seven, eight different indices. The buyers largely dictate which indices you use. In Asia, the Asian buyers prefer to use the Aussie-linked indices; in the Atlantic Basin they use the U.S. East Coast indices. As I have said on this call before, in a good market, a strong market, a seller’s market, we can sell at a premium to those indices, and in a weaker market we sell at a discount to those indices. When I started in this business we did fixed price for a year and we did three- and five-year contracts. A lot of the coal that we sell, we still have contracts, but we sell more and more a vessel at a time. And that is largely driven by the way the Asian customers prefer to buy the coal. And so it is a challenge for us to say the least. And I always say the ton of coal at Hampton Roads does not know where it is going. And we, I guess, feel that our coal can be undervalued at times. People refer to the spread between High Vol A and Low Vol, for example, in that relativity. I am not a disciple of that, frankly. Each coal has its own value and has its own drivers. So I guess the answer is, could there be a better way? Possibly, but, you know, the customers largely dictate how we sell our coal.
Nick Giles: Understood. I really appreciate the perspective, as always. I will turn it over, but thanks again. Good luck.
Operator: Our next question comes from Matthew Key with Texas Capital. Please proceed with your question.
Matthew Key: Hey, good morning, everyone. Most of my questions have been addressed, but I will ask a quick one just on the macro. We also got some announcements on the U.S. tariffs recently. While it sounds like those will be replaced by, you know, other means, does that impact the macro thesis on met coal at all, in your view? Or is it kind of just continuation?
Andy Eidson: I think the challenge—Matthew, it is good to talk to you, by the way—I think the challenge here is the constant state of flux in the tariff structures. I think it has got a lot of buyers, a lot of people who could be doing infrastructure projects or big buildings or any kind of development that could require a lot of steel—I think it has got a lot of people sitting on their hands waiting to see where things fall out before they make big moves. And that degree of lethargy is part of the problem. You look at this market—there is just not a lot of, not enough volume flowing in any discernible direction, being able to predict where that goes. So I think a lot of folks are continuing just to wait and see where it lands so they can really derive the cost of whatever projects they are wanting to do. And that leaves us—we are the tail end of the cycle for that—and that leaves us in a state of uncertainty.
Matthew Key: Got it. No, that is helpful color. That is it for me. Best of luck moving forward.
Andy Eidson: Yes. Thank you very much.
Operator: We have reached the end of the question-and-answer session. I will now turn the call over to Andy Eidson for closing remarks.
Andy Eidson: We appreciate everyone's time this morning. Thank you for joining us, and we hope everyone has a great weekend.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.